Operator: Thank you for standing by, and welcome to Transphorm's First Quarter Fiscal 2024 Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the call over to David Hanover of Investor Relations. Please go ahead.
David Hanover: Good afternoon, and welcome to Transphorm's first quarter fiscal 2024 earnings conference call. Joining us today from Transphorm are Primit Parikh, CEO, President and Co-Founder; and Cameron McAulay, Chief Financial Officer. Before we begin, I'd like to point out that there is a slide presentation associated with today's prepared remarks, which management will be referencing during the conference call. These slides can be accessed through the live webcast link in the Investors section of Transphorm's website where they will also be posted and available as a link to a PDF subsequent to today's conference call. Additionally, during the course of this call, the company may make forward-looking statements regarding the company's financial position, strategy and plans, future operations, specific end markets and other areas of discussion. It's not possible for the company or management to predict all risks nor can the company assess the potential impact of all factors on its business or the extent to which any factor or combination of factors may cause actual results to differ materially from those contained in any forward-looking statements. In light of these risks, uncertainties and assumptions, the forward-looking statements discussed during this call may or may not occur, and actual results could differ materially and adversely from those anticipated or implied. Any projections as to the company's future performance represent management's estimates as of today, August 14, 2023. Neither the company nor any person assumes responsibility for the accuracy or completeness of the forward-looking statements. The company also undertakes no obligation to publicly update forward-looking statements for any reason as to the date of this call to conform such statements to actual results or to the changes in the company's expectations. For a more detailed information on risks associated with the company's business, we refer you to the risk factors described in Transphorm's most recent annual report on Form 10-K and other subsequent filings with the SEC. With that said, it is now my pleasure to turn the call over to Transphorm's CEO, Primit Parikh. Primit?
Primit Parikh: Thank you, and good afternoon to everyone on the call. We are pleased to report a strong first quarter of fiscal 2024 with revenues of $5.9 million in our targeted range and over 13% higher than fiscal first quarter of 2023. In less than two months from our last earnings webcast, our power products pipeline has grown to over $450 million with our total pipeline nearly at $600 million, dominated by high-power products where Transphorm has a clear quality, performance and IP differentiation. Q1 revenue was roughly evenly split between product revenue and government revenue, the former at $3 million and the latter at $2.9 million, including a catch-up from the delayed start we had reported in the prior quarter. More than 70% of the product revenue mix came from high-power, where Transphorm continues to be the world's number one GaN company with superior high performance and reliability over every other GaN competitor, notably e-mod GaN. We continue to make new advances, unlocking more capability of GaN to address even larger market segments. A good recent example is our achievement on short circuit rating capability, a key for motor drives and inverters. We continue to have increased win in the lower power arena with proliferation starting within our existing Fortune 100 accounts as well now, as well as 1 of the largest ODMs in the world. Additionally, we are now successfully executing on our $15 million NSTXL government contract, already securing $2.9 million of cash receipts since our June investor update. Moving on now to Slide 3, I will start with a high-level corporate update first. Our designing momentum remains strong as we focus on expanding leadership in three key high-power verticals: Computing, which includes power for data centers; artificial intelligence machines and blockchain computing; energy and industrials, which includes micro-inverter, UPS and servo motors; and electric vehicles with two and three wheelers first, followed by four wheelers. On the low-power side, our GaN products, both discrete and SiPs with the system in package varieties with our ecosystem partners continue to lead in efficiency and reliability with the physics-based benefits of Transphorm's Super GaN products versus e-mode GaN technology. Coupled with a strong pipeline, we now see resumption of sequential product revenue growth in the second quarter. Second, we closed our rights offering, raising approximately $8 million of capital from our key shareholders led by KKR, who fully exercised their pro rata rights. As we previously discussed, we are working on securing non-dilutive asset and AR-based debt financing. We also have active discussions on certain licensing possibilities as we work to secure a financial run rate well into fiscal 2025. With the rights offering completed, we are now beginning our previously announced strategic review of Transphorm with the goal of maximizing shareholder value. Given both inbound third-party interest we have received, as well as strong macro interest, including recent M&A activity in the GaN arena, we believe the time is right for this process. This review encompasses strategic and/or traditional equity or debt financings, U.S. and Asia-based licensing opportunities, and potential M&A opportunities, again, all with the focused objective of maximizing shareholder value. Turning to Slide 4 now, I will go into our key vectors and metrics for the quarter. We reported $5.9 million of revenue within our targeted range, roughly evenly split between product and government revenues with majority contribution coming from high power, which is more than 300 watts for us, where competing GaN has not yet realized meaningful end customer product revs (ph). For the fast chargers in the low power space, we secured more than 10 new design-ins, taking the total to more than 100 with over 30 now in production. We are gaining rapid traction with our System-in-Package, SiP strategy, we adopted earlier this year with integrated controller and driver and strong ecosystem partners like Weltrend, a leading IC provider. With the dynamic capability and superior performance advantage of our Super GaN FETs versus typical foundry style e-mode GaN, we have the versatility to use the same Transphorm GaN chip for 65 watts or 100 watt adapter design. And crossover difficult, it's not impossible with e-mode GaN. We are ramping into designs for multiple Fortune 100 OEMs and leading ODMs in this area, supporting our expectations of resumed sequential product revenue growth. To the best of our knowledge, Transphorm is still the only GaN company with customers in the high power ramped in the market from segments 300 watts to 4 kilowatts, and we are now in the process of extending that to 7.5 kilowatts with some new design-ins. Since our last update, we had another 25% sequential increase in design-ins for high power that today stand at over 75, of which over 30 are in production. In addition to Transphorm being the only GaN company to have ramped in the attractive micro inverter segment, we recently achieved another first by demonstrating a robust 5 microsecond short circuit withstand rating, which is a safety spec required for large market segments like motor drives and inverters. Our team recently completed a 600-watt battery charging solution for EV two-wheelers with our Super GaN FET achieving over 1% efficiency gain or 14% loss reduction in this application versus silicon super junction with 25% lower device count, making it cheaper than silicon with superior performance over silicon. We continue to expand our product offerings in what is the most diverse package portfolio for GaN power devices. High performance and industry standard compact PQFN style packaging for lower power to standard robust TO packages for higher power, that by the way, e-mode GaN today cannot do due to its inherent weakness to a new robust high-power surface mount packages. These coupled with ecosystem partnerships with IC companies for Transphorm GaN that can be used with standard controllers and drivers will also contribute to our anticipated sequential product revenue growth. Continuing with our 1,200-volt GaN progress, we now introduced a preliminary data sheet generating significant interest from EV customers who begin to see Transphorm GaN as future-proof 650 volts today, 1,200 volt in future, directly taking on silicon carbide. On the operations side, our focus on capacity and cost improvements has led to record productivity from our Japan Epi reactors. On the packaging side, where we have completed our dual sourcing and cost down activity for high-power products, we will expect margins and cost improvements. We have now started multi-sourcing and cost down activity for our low-power products as we target aggressive growth over the next few quarters in this area as well. Moving on to Slide 5, let me now turn our attention to partnership and key initiatives. I want to highlight our GlobalWafers Corporation relationship, a key partnership for MOCVD epi wafer scaling with a large international $6 billion-plus market cap materials and manufacturing leader. We remain on course to qualify two reactors and release them to production by the end of the fiscal year with early samples by end of the current calendar year. As a recap, we already have six out of our eight MOCVD reactors installed with four running at various levels of production or development today. With the eight reactors we already possess, we can support $50 million of annualized product revenue. Our AFSW wafer fab continues to operate on target and a sufficient capacity in place for fiscal year '24 and plans in place for fiscal year 2025. In collaboration with Yaskawa, our customer partner and meaningful shareholder and also a worldwide leader in motion control and robotics, we have achieved a major breakthrough with our patented technology for short-circuit rated gallium nitride, demonstrating 5 microsecond with 10x at high voltage, previously, possible only with silicon IGBTs or silicon carbide. Simultaneously, we achieved 12 kilowatts of power from a single device in a half bridge topology without any paralleling. This first with high performance GaN, a key safety feature for rugged applications like servo and industrial motor drives, along with the high-power capability addresses a multibillion-dollar TAM, including servo, industrial motors and electric vehicle powertrains and further underscores the robustness of Transphorm's GaN power portfolio. With solutions from 350 watts to 2 kilowatts, we are deepening design traction with multiple solutions now in the two- and three-wheeler electric vehicle space, a focus area we have outlined previously and now engaged in design-ins for multiple customers in Asia, including recently a more than $5 billion market cap top three EV two- and three-wheeler India-based manufacturer. We remain on track for achieving million-dollar level ramps in this EV segment, the two and three-wheeler EV segment next calendar year. With the automotive exclusivity with respect to the Nexperia contract behind us, we have started worldwide customer engagements with EV four-wheeler customers, with our automotive AEC-Q101-qualified 650-volt products, and we are in early discussions regarding our 1,200 volt technology that is already generating a lot of interest. We are now well underway with performing on our NSTXL epi wafer government program that was awarded to Transphorm in the fiscal first quarter of '24. Thus far, we have received $2.9 million of cash from performance under this award. We are also in discussions for potential licensing revenue with parties, some of whom are planning for GaN manufacturing under the U.S. CHIPS Act program. Moving to Slide 6 now. Our core capabilities from low power to high power, wafers and packaged products are well captured in our large and growing pipeline. Now over $450 million in power products and close to $600 million, including power device wafers and our government contract business. Reflecting on our recent revenue profile, 70% of our power products pipeline is also for high power, about 300 watts, where Transphorm is superior to other GaN offerings, including e-mode and typical foundry-based offerings. Our focus will be on: one, progressing through the strategic review process, identifying the best options for enhanced shareholder value and continuing to secure nondilutive debt and other capital, meaningfully extending our cash runway well into fiscal year 2025; second, resuming sequential product revenue growth in the current fiscal Q2 and growing our worldwide sales and application footprint to enable faster conversion of growing design-ins into ramp production, all based on our superior performance, higher liability SuperGaN products, as well as our ecosystem of strong solution partners in ICs, SiPs for lower power and system-level solutions for higher power; third, improving margins through higher volume, lower cost packaging and our technology road map, improving performance while reducing cost; and four, accessing new markets like 800 volt battery electric vehicle systems with new offerings like our 1,200 volt gallium nitride and motor drives and short circuit capable GaN, both first in GaN from Transphorm. Overall, as one of the only pure-play GaN power semiconductor companies in the world with volume production in low-power and high-power segments, we are well positioned to progress towards our long-term model in fiscal year 2024 and beyond. With that, I will hand it over to Cameron to walk you through our financials in detail. Thank you.
Cameron McAulay: Thank you, Primit, and hello to everyone joining us today. Let me now start my remarks with a brief recap of our financial results for the recently completed quarter. For my remarks, I will refer both to GAAP and non-GAAP results, which are reconciled to GAAP in our press release table. Non-GAAP results exclude stock-based compensation, depreciation, amortization and other income and expenditure. Starting with the income statement. Total GAAP and non-GAAP revenue comprising product and government was $5.9 million in the quarter. This represents an increase of 84% for the prior quarter and 14% over the same quarter last year. This was in line with our projected revenue. Product sales were $3 million in the quarter. Our product revenue is being driven across a broad range of core conversion applications, including fast chargers and adapters, gaming and data centers. As noted by Primit, we continue to see positive momentum with our customers in production. Looking to the immediate future, the company anticipates a return to sequential product revenue growth in the current quarter. Government revenue was $2.9 million in the quarter. This increase being driven by a successful award and execution of our new $15 million government program. We will continue to see solid revenue from this program over the year, but some reduction from Q1 is anticipated. The gross margin in the quarter was 35.5%, a significant increase from the 5% delivered in the prior quarter and higher by 14% when compared to the same quarter last year. The prime driver here was the increased margin from our government business. The net margins for our product business remains strong. Overall, company gross margins will drop in the current quarter with the reduction of government revenue and associated fixed cost impact on gross margins, but with our direct margins remaining consistent, we will be able to deliver solid margin performance continuing to improve further as we resume product revenue growth. We continue to progress towards our long-term model, our gross margins in excess of 40%. A number of actions, including new product introductions, ongoing cost efficiency activities and benefits that we will receive as we grow and scale are expected to contribute to this increased gross margin. Operating expenses on a non-GAAP basis were $6.8 million in the current quarter, a reduction from $7.5 million in the prior quarter. This reduction being driven by a number of factors, including government absorption, reduced legal costs and other smaller efficiencies. Spend for the quarter is anticipated to be largely flat. Turning to EPS. The non-GAAP EPS loss in the quarter was $0.08. This compares to a $0.13 loss in the prior quarter. The main driver here being the increased revenue and margins, together with lower OpEx. From an operational perspective, we continue to see solid traction in our targeted markets as evidenced by our improvement in both customers of production and design-in activity. As mentioned earlier, the company anticipates a return to sequential product revenue growth in the current quarter. Our shot-term focus is on product execution and enabling capacity expansion to support medium to long-term growth. We also continue to invest in the long-term growth engine of the company. Turning now to the balance sheet. Our shareholders' equity was $22.8 million at the end of the quarter, an increase from $19.6 million as at March 31. Operational cash burn, excluding capital investment decreased in the quarter to $6.7 million. This was driven primarily by improved collections, including $500,000 from our customer partner, Yaskawa, reduced waste costs driven by timing of payroll and ongoing tight spend management procedures. In addition to this, the company paid off a $12 million revolving credit facility and now have a balance sheet with no debt. For the current quarter, we expect the continuation of the reduction in our cash burn enabled by strong collections and our continued focus with cost controls. Cash and cash equivalents were $3.3 million at the quarter end. As announced, the company strengthened its balance sheet in the current quarter with the $8 million received from our raise issue. Additionally, we also received $2.9 million in the quarter in relation to our government contract. We continue to progress towards completion of asset-backed, nondilutive debt, and we expect to conclude these facilities in the near term. Looking ahead, we continue to remain open to opportunities to further strengthen our balance sheet in order to ensure that we are able to continue to invest in our growth, a growth made possible through our continued progress with design-ins and production customers. Concluding now with a few key highlights. Transphorm, publicly listed on the NASDAQ Exchange is a global leader and robust GaN, the future of next-generation power systems. Our disruptive best-in-class technology is addressing a large growing market opportunity. We are commercially ramping with a strong pipeline in place. We have established a strong network of blue-chip partners and have a comprehensive product offering today that meets our customers' needs across a wide range of power levels and segments. All of this is underpinned by the industry's strongest IT position, a vertically integrated supply chain and a deep and talented team. That completes our prepared remarks and materials, and we would now like to open the call to any questions. Operator, please proceed with the Q&A portion of the call.
Operator: Thank you. [Operator Instructions] Our first question will come from David Williams with The Benchmark Company. Your line is open.
David Williams: Hey. Good afternoon. Thanks for the color and allow me to ask the question here. I guess, Cameron, just -- I get first to you. Just kind of thinking about the inventory level. We're up to about $8 million this Q, we've got the accounts receivable that's up about 57% sequentially. Can you talk a little bit about that? What's driving that? And when do you think you can convert that into cash?
Cameron McAulay: Sure. Thanks, David. Specifically for accounts receivable, about 30% of that accounts receivable was tied to the government deliverables that we referenced in our prepared remarks, and we've since received that. So you can expect to see accounts receivable coming down in the current quarter. Inventory from quarter-to-quarter was up slightly, mostly due to the fact that the standard cost increased our overall NP number. There wasn't an increase in inventory per se. And we've managed to keep inventory, I would say, pretty flat from September '22 to current date. And obviously, we'll continue to manage that and make sure we're being efficient in that regard.
David Williams: Okay. Very good. Just kind of given the level of demand that you see in front of you, what do you think is the most appropriate level there on the inventory side? Is $8 million about it? Or should we see that -- would you prefer to see that down maybe with a quarter's worth of revenue?
Cameron McAulay: For me, I think what we've got to do is make sure we've got an inventory level that allows us to support the business, David. And as we resume sequential revenue growth, we want to make sure that we strike that balance between having the right inventory number and having the inventory number that allows us to scale and to support our customers. So I'm relatively comfortable with an inventory number in the raise that it has right now.
David Williams: Okay. I certainly appreciate that help. And then I wanted to ask, it sounds like or at least it seems like the data center and artificial intelligence kind of trends, you guys already designed into power supplies there. Just kind of curious if you're seeing that demand pulled in and since you already have existing design-ins, are those being pulled in? And just any activity you're seeing around the AI trends in the data center would be very helpful. Thank you.
Primit Parikh: Yes. No, thank you for that. So we're -- that -- all of that is in our computing segment, computing and storage and networking segment, which is traditionally been strong for us -- steady and strong segment. So we are seeing some nice upticks in the computing segment with the server-based designs in the AI space, our technology, our products and our customer products, with GaN-based highly efficient GaN-based power supply, titanium-rated power supplies from GaN with Transphorm. We were one of the first by the way and have a very patented -- broadly patented approach for realizing titanium-based high-efficiency servers for, amongst other things, AI and high-power computing in general. So we are seeing some nice design-ins there in the space of indirectly impacting AI. Our existing wins, which we are seeing proliferation is in the area of servers, high-power gaming and blockchain computing.
David Williams: Thanks so much. Certainly appreciate it.
Operator: Thank you. [Operator Instructions] Our next question comes from Ananda Baruah from Loop Capital. Your line is open.
Ananda Baruah: Hey. Thanks, guys. Appreciate you letting me ask question. Congrats on the progress. And I guess, just to put out on the -- with regards to the strategic review process, you're saying that you're now officially underway. Can you describe to us what the milestones are, at least these initial milestones? Have you hired a banker yet? How long do you think that process takes that you haven't? And anything else that's relevant that you get started here? And I have a few follow-ups. Thanks.
Primit Parikh: So yes, Ananda. So what we said and just clarifying again that we are beginning our previously announced strategic review process. So some of the specifics, we cannot yet comment on. But we are talking, we continue to discuss with the bankers who are familiar with Transphorm and also those bankers who were involved in recent similar transactions in the power electronics, GaN, silicon carbide-related arena. So we are doing all of those discussions. We cannot comment more specifics at this time. But again, like we said, we begin our -- we are beginning our review process, and it will include multiple opportunities like financing, strategic semiconductor financing, traditional financing, licensing, like we talked about in the call and potential M&A. All this will be part and parcel of the discussions.
Ananda Baruah: Awesome. And Primit, how are you finding sort of interest the opportunity holistically relative to what your desires would be when -- sort of when you started the process?
Primit Parikh: Again, I think, look, our primary focus is to -- very exciting design-in and momentum space that we have got in front of us, really keep growing that, keep converting more of the design wins to design wins and ramp the design wins. So that's a clear business focus of Transphorm. And then like we said, equally important to enhance shareholder value and accelerate the growth of our GaN business we are doing and beginning to start our strategic review. So we are finding, like we said, again, various levels of inbound interest because Transphorm obviously is a well-known name. It's one of the few pure-play GaN companies out there with the strongest products in low-power and high-power, very strong IP, our own wafer manufacturing and clear kind of differentiator in various areas that we talked into low-power, high-power, 1,200 volt GaN and things like that. So we are finding a kind of interest across the board in this space. And -- which is why to channel those inbound interest properly is why we are, again, doing this with -- again, a single-minded focus to enhance shareholder value.
Ananda Baruah: No, that sounds good. That sounds great. You may have mentioned in the prepared remarks about the ability to increase the velocity of design-in impact. And I just wanted to make sure I just -- I understood the context there of those remarks. Does that -- do you recall making those remarks?
Primit Parikh: Yes. So like we said, our pipeline is very strong. In just the last six or seven weeks since we did our year-end call end of June, we've got a 10% increase in design-ins in the low-power and 25% increase in design-ins in the high-power. So now as we -- our goal is to convert more and more of those design-ins, solid design-ins into production and ramping those, right, at both ramping new customers as well as the parallel designs proliferating at existing customers taking more slots in the design and existing customers. And we are doing that through a couple of things. We have already put in place over the last six to nine months, personnel in place relationships and technical resources to, first of all, garner this strong pipeline. And now as we go on our own team in worldwide sales and application as well as very important customers and our partners, right. Our IC partners that we have to increase the momentum. All of those two or three things put together, we look forward to getting more traction in increasing revenues faster. We also aim to add new geographies like India, for example, as well as increase our U.S. based sales.
Ananda Baruah: That's all great. And I guess if -- like structurally, can you give us any sense as you sort of implement these various initiatives and processes? Any sense structurally after this is complete, the impact it can have in, I don't know, sort of the development to revenue cycle or development the qualification cycle, whatever the appropriate metrics are.
Primit Parikh: Yes, both actually, right, qualifications internally and then working with qualification, the product qualification design, qualification at our customers and then impacting the revenue cycles. Both of them we intend to shorten. Particularly the example I gave at proliferating within existing customers, more slots and supporting our existing customers to do more. That's an area we particularly want to emphasize upon. And, like, we are confident now looking at the pipeline and what we have in the process to resume good sequential product revenue growth from here on now.
Ananda Baruah: That’s great. I appreciate the context. Thanks so much.
Operator: Thank you. [Operator Instructions] Our next question comes from Craig Ellis with B. Riley. Your line is open. Craig, please check your mute button.
Craig Ellis: Can you hear me now.
Primit Parikh: Yes.
Craig Ellis: Yeah. Thank you. Apologies there. So my first question, I'll direct to you, Cameron, and then I want to follow up on some of the strategic issues with you, Primit. Cameron, really nice gross margins in the quarter with significant government mix. Now there was a catch-up payment, which we won't have in the current quarter. So can you just help us with the arc of gross margins over the next couple of quarters with the contribution from government? And then how significantly do you think volume can scale given the breadth of design wins both in higher and lower voltage? Thank you.
Cameron McAulay: Sure. No, thank you. So yes, government, there will be a mix change as we think about the quarter that we're in to Q2 and Q3, and you'll see more -- proportionately more product. Government will revert back to more kind of normalized levels of activity. But even with that, because we've got more scale because we're still seeing solid margins in our direct business -- although there will be a drop in -- from Q1 to Q2 margins, it will be a drop that will still form the company's solid margins. And from there, it is largely a case of upscaling the business, continue to bring the pipeline over the finish line and continue to do it in a way that allows us to see a kind of steady increase in gross margins from there. And we should anticipate seeing that in the back half of FY '24 and into '25 as we scale our production business.
Operator: Thank you. And we have a question from Tore Svanberg with Stifel. Your line is open.
Tore Svanberg: Yes. Thank you, Primit, Cameron. Primit, maybe for you first. You mentioned the 1,200-volt GaN now sort of in data sheet. When can we realistically think about sampling of the 1200-volt products?
Primit Parikh: Thanks, Tore, for that. So we've started discussions with a few customers systematically on that. First, we announced the modeling at PCIM, now the preliminary data sheet. So we are working through it. What we expect in sampling, sometimes in the calendar year 2024, the early part of calendar year 2024, we expect sampling -- limited sampling to closer kind of so-called customer partners who want to work with us closely into system-based design and evaluation of this technology. But the very important thing about that, about the 1,200 volt is, like we mentioned, customers. Now this is also helping, frankly, our traction with 650 volt, existing call it, automotive qualified products that we have today because customers see us now that, look, we can have 650 volts for 400 volts battery today. And then in the future, when we want to design for 800-volt batteries, the 1,200 volts is in place, all with gallium nitride.
Tore Svanberg: That's very helpful. And also a question for Cameron a little bit related to Craig's question, but maybe asked a little bit differently. So how should we think about mix for the next few quarters? Will we sort of revert back to 75-25, kind of a mix between product and government? And what will it take for the product gross margin to be a bit more optimized? Is that sort of like $5 million in product revenue per quarter or higher than that?
Cameron McAulay: Sure. No, thank you. I think the split, roughly 50-50 in this quarter, I think it will be two-thirds one from [indiscernible] in the September quarter as I think about the difference between the two, Tore. And then you'll start to see product continue to have a higher percentage. I think that the government will be flatter just in the general trajectory. So you'll see production from a greater part of the overall revenue number. In terms of margin improvement, I think it's a few different things. I mean some of it is scale, so that we can absorb the indirect cost of manufacturing. Some of it will be, as Primit mentioned, cost and activity, getting the cost out of the parts, transitioning people over to a new sleeker products. So I don't think it's one individual thing. I think it's a combination of three or four different things that will help drive the margins and improve the margins as we go forward.
Tore Svanberg: Great. Thank you very much.
Operator: Thank you. Our next question from Craig Ellis with B. Riley Securities. Your line is open.
Craig Ellis: Yeah. Thanks. Primit, I wanted to come back and just ask about the strategic alternatives. Can you help us understand the time line that you and the Board are working with? And any key milestones associated with that time line that investors can look to gauge progress down the road? Thank you.
Primit Parikh: Thank you for that. So again, we have started preliminary, we have begun under a strategic review process. We obviously, we will proceed -- two key objectives we have, maximizing shareholder value along with -- and it's the same objective at the end of the day, growing our GaN business, right? So converting this momentum on our own with partners faster than we can. We have not set a very specific like ABC time line of this yet, but we definitely will be updating the investors as we go along. But the key is we have inbound inquiries, our design-in momentum is very, very strong, like we alluded to. And there's a lot of activity happening, as you all know as well, in the GaN field. So these three vectors together coming together is the right confluence to have -- kind of embark on this process.
Craig Ellis: That's helpful. And do you envision this leading to you selecting a single partner or is it possible that you would have multiple partners depending on their technology position or desired technology, geographic domicile market focus, et cetera.?
Primit Parikh: It is possible to have actually multiple partners, it all depends, but it is possible, for example, the three areas I outlined, right -- financing, licensing and potential M&A, right? And for example, licensing can stand alone with either one of those two, right, with a different partner, for example. So there could be -- very well be multiple partners because we have multiple opportunities on the horizon.
Craig Ellis: Thank you, Primit.
Operator: Thank you. And there are no other questions in the queue. I'd like to turn the call back to Primit Parikh for our closing remarks.
Primit Parikh: So thank you, everyone, for tuning in today. We look forward to continue to grow faster on this exciting opportunity that we have in front of us, growing Transphorm's GaN business rest of this quarter and the second half of fiscal year 2024. Good day to all.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.